Operator: Ladies and gentlemen, thank you for standing by. Welcome to the CBL & Associates Properties, Inc. First Quarter 2012 Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded, Tuesday, May 1, 2012. I would now like to turn the conference over to Stephen Lebovitz, President and CEO. Please go ahead.
Stephen D. Lebovitz: Thank you and good morning. We appreciate your participation in the CBL & Associates Properties, Inc. conference call to discuss first quarter results. Joining me today is John Foy, CBL’s Chief Financial Officer; and Katie Reinsmidt, Vice President, Corporate Communications and Investor Relations, who will begin by reading our Safe Harbor disclosure.
Katie Reinsmidt: This conference call contains forward-looking statements within the meaning of federal securities laws. Such statements are inherently subject to risks and uncertainties. Future events and actual results, financial and otherwise, may differ materially from the events and results discussed in the forward-looking statements. We direct you to the company’s various filings with the Securities and Exchange Commission, including without limitation, the company’s most recent Annual Report on Form 10-K. During our discussion today references made to per share amounts are based on a fully diluted converted share basis. During this call, the company may discuss non-GAAP financial measures as defined by SEC Regulation G. A reconciliation of each non-GAAP financial measure to the comparable GAAP financial measure will be included in the earnings release that is furnished on Form 8-K along with a transcript of today’s comments and additional supplemental schedules. This call will be available for replay on the Internet through a link on our website at cblproperties.com.
Stephen D. Lebovitz: Thank you, Katie. We’re pleased that 2012 has started out so well for CBL. Our results for the first quarter show continued progress in driving growth in our core portfolio. Occupancy increased 150 basis points in this time last year. Sales growth was particularly strong with a comp store increase of just under 6%. Lease spreads increased over 7% and same-center NOI grew by 1.5%. We’re also laying the ground work for future growth at CBL sourcing attractive new investments to add value to our portfolio. Over the past year, we have made meaningful progress building our presence in the outlet industry, with two ground-up development projects, and our recent investment in two operating outlet centers. In aggregate, outlets comprise a small percentage of our revenues, but we are encouraged by the potential we see in that area. Many retailers have made their outlet strategy a priority and this sector will provide one of our best avenues for external growth over the next few years. Horizon has been a terrific partner for us. Through this venture we see additional opportunities for new outlet projects where we will be able to meet our pre-leasing requirements and achieve attractive financial returns. We recently announced our investment in two additional outlet centers that are operated by Horizon. We acquired a 75% stake in The Outlet Shoppes at El Paso and a 50% interest in The Outlet Shoppes at Gettysburg. The blended cap rate was very attractive in the high severance, and we see near long-term growth prospectus for both centers. The Outlet Shoppes at El Paso opened in 2007 with 350,000 square feet is 99.6% leased with sales trending towards $400 per square foot. The center serves the market with more than 2 million residents, plus a significant tourist population and is located near the Fort Bliss army base, which is benefiting from the BRAC program. The Outlet Shoppes at Gettysburg is a 250,000 square foot center, which serves more than 2 million tourists that visit the area annually. A new $95 million civil war museum opened just a few years ago and is driving additional traffic to the center. Sales are in the mid-200s per square foot today and we are working on continuing opportunity to increase sales. Both centers also have additional land available for future expansions. On the development side, construction is set to start in the next few weeks on The Outlet Shoppes at Atlanta, located in the affluent suburb of Woodstock, north of the city. The 370,000 square foot project is approximately 70% leased or committed with the first class line up of retailers, including Saks Fifth Avenue Off 5th, Nike, Levis, Brooks Brothers, Converse, and Cole Haan. Similar to The Outlet Shoppes at Oklahoma City, this project will be developed in 75:25 joint venture with the Horizon Group with an initial unleveraged yield above 10%. We are also pursuing plans to add a second phase to our project at Oklahoma City. Sales for this project during the $400 per square foot range, and it continues to exceed our financial projections. Phase II will encompass approximately 30,000 square feet that will be under construction shortly. Other important sources of growth are expansions and redevelopments to our existing centers. We recently celebrated openings for several major boxes within the CBL portfolio. In Maryville, Tennessee at our Foothills Mall, we opened a new Carmike 12-screen during the first quarter. The theater filled the former second (Inaudible) location in the mall, which closed so they can consolidate their operations into and renovate their other location at the mall. The theater has already proved to be a great addition to the mall and has exceeded performance expectations. At the end of April, we celebrated the grand opening of American Girl at Chesterfield Mall in St. Louis. The opening crowds and sales were more than double American Girl’s projections. This store should drive new traffic and lift the sales at the mall. Last month, Microsoft announced that they would be opening a store at our Oak Park Mall in Kansas City. This is only their 20th store. So it’s very exciting and should be another great attraction for the center. Our renovation program for this year includes four malls; Cross Creek Mall in Fayetteville, North Carolina; Mall del Norte in Laredo, Texas; Post Oak Mall in College Station, Texas; and Turtle Creek Mall in Hattiesburg, Mississippi. The aggregate expenditure for the renovations is estimated at approximately $20 million. These renovations are important to the continued growth in the centers, helping to attract new retailers and driving traffic and sales. First quarter sales at our malls increased 5.9%, solid evidence of the improving consumer demand in our markets. Of the nine consecutive quarters of positive sales growth that CBL portfolio has posted, this is our largest quarterly increase. The sales results were helped by the earlier Easter holiday combined with mild weather, as well as improvements in consumer confidence. As the economic recovery progresses, we anticipate improved sales for the remainder of the year. A number of retailers have recently announced significant expansion plans for the coming years. This is very encouraging, and coupled with the positive sales trends bodes well for the CBL portfolio. Additionally, during the quarter, we did not experience any major bankruptcies or store closure announcements. In the first quarter, this strong demand translated into our portfolio occupancy improving 150 basis points over the prior year to 91.8%. Occupancy in the mall grew 150 basis points over the prior year to 91.9%. We are continuing to make progress in our leasing spreads. Overall leases for stabilized malls during the quarter we’re signed at a 7.7% increase over the prior gross rent per square foot. Renewal leasing spreads were down 60 basis points over the prior rents and new leases were signed at a 43.6% increase over prior rents. New leasing was helped by the replacement of several tenants that were on short-term leases. We backfilled GAP and Abercrombie stores with new retailers, such as White House Black Market, LEGO, Apple, Pandora, Microsoft and Victoria’s Secrets Pink. We anticipate continuing to benefit from this conversion. We are focused on pushing renewal spreads, as well as maintaining the increases, we are seeing on new leasing. In the first quarter, we completed the sale of two centers. In January, we closed on the previously announced sale of Oak Hollow Square, a community center in High Point, North Carolina. We also sold the second phase of Settlers Ridge in Pittsburgh, Pennsylvania. The two centers were sold at an aggregate sales price of $33.4 million. I’ll now turn it over to John for the financial review.
John N. Foy: Thank you, Stephen. Year-to-date, we completed approximately $195 million in financings at a weighted average rate of 5.09%. These financings generated net cash proceeds of more than $79 million after repayment of the existing loan balances; both new loans are 10-year non-recourse loans. We achieved significant interest rate savings as the previous loans carried an interest rate of 6.51%. On the last earning call, we mentioned that we had taken advantage of a favorable short-term rates by placing several of our 2012 mortgage maturities in our lines of credit, while we work to complete new permanent financings. The two new mortgages that we just completed were part of this pool. We have term sheets for all but one of the remaining 2012 maturities. The debt markets are very attractive for quality sponsors, and we have received interest from CMBS lenders, as well as institutions and banks. We anticipate completing these financings within the next several months. We finished the quarter with close to $800 million of availability on our lines of credit. Our coverage ratios remain very sound with an interest coverage ratio of 2.5 times and fixed charge coverage of 1.9 times. Our debt to GAV ratio was 51% at quarter-end. Today, more than 80% of our debt is non-recourse and property specific. First quarter 2012 FFO per share was $0.49 per share, compared with $0.46 per share in the prior year period, excluding a $0.17 per share gain on extinguishment of debt in the prior-year period. Our same-center NOI growth in the mall portfolio was encouraging, increasing 1.7% over the prior year. Same-center NOI for the total portfolio was healthy at 1.5%. FFO and NOI benefited from both occupancy and rent increases, as well as from lower snow removal and bad debt expense in the quarter. Other major items in earnings results included, G&A as a percentage of revenues was 5.5% for the first quarter compared with 4.4% in the prior-year period. G&A was higher as a percentage of revenues in the current quarter, due to lower revenues resulting from the deconsolidation of the TIA joint venture properties. Our cost recovery ratio for the first quarter 2012 was 94.8% compared with 95.4% in the prior-year period. We recorded bad debt expense of $667,000 for the first quarter 2012, compared with $1.4 million in the prior-year period. Variable rate debt was 12.7% of total market capitalization versus 15.9% at the prior period. Variable rate debt represents 22.8% of our share of consolidated and unconsolidated debt compared with 26.6%. Based on our current outlook and expectations, we are maintaining guidance for 2012 FFO in the range of $1.95 to $2.03 per share. The guidance assumes NOI growth in the range of 0% to 1%; outparcel sales in the range of $3 million to $5 million for the year and portfolio occupancy flat to up 50 basis points for the year. This year, we’ve already taken advantage of several attractive investment opportunities. We are excited to add these new sources of growth to our portfolio as they will contribute to CBL’s future success. Our existing portfolio is also improving and benefiting from increases in retailer demand and limited new supply. Our leasing team is currently ramping up for a very busy ICSC Recon in Las Vegas this month. We will have the full contingent in the leasing hall and look forward to visiting with many of you. We are pleased with the strong start to the year and to continue in this momentum throughout the reminder of 2012. We appreciate everyone joining us today and we’d now be happy to answer any questions you might have.
Operator: Thank you. (Operator Instructions) Our first question comes from Paul Morgan with Morgan Stanley. Please go ahead.
Paul Morgan – Morgan Stanley: Hi, good morning.
Stephen D. Lebovitz: Good morning.
Paul Morgan – Morgan Stanley: On the leasing activity, could you just maybe provide a little bit, you talked about having a good start to the year, sales were up and starting to push renewals, and I mean can you talk about that in the context of the renewal spreads that you’re reporting, which are still kind of flat to slightly down, I mean, maybe some of the offsets where you are kind of lowering rent on renewal and kind of maybe some areas where you’re seeing strength? Is there any notable retailer for example that’s dragging it down?
Stephen D. Lebovitz: Sure. Good morning, Paul. So like we’ve been pushing the past couple of years, we’re really making a big effort to improve renewal spreads, there are still a few retailers that it seems like every quarter, we get into a negotiation with and we decide that it makes more sense to renew them short-term and allow us more time to find a better user for the space, and we benefited from that with some of the new leasing this quarter and the replacements that we did for some of the short-term leasing that we’ve done, and there were a couple of retailers I’d say Abercrombie was one that where we renewed some leases on a short-term basis at a significant negative spread because of the sales decreases that they’ve had in the past couple of years. and so that dragged our renewal spreads down and Payless Shoes was another one where we did a number of deals with them and negative spreads again, short-term renewals for the most part, the Payless is a pretty tough spaces. So those were definitely factors that kept us from being in positive territory on renewal spreads. And first quarter is also the largest quarter for renewals. so we expect to show better results as the year goes on.
Paul Morgan – Morgan Stanley: And so that 40% mark-up on new leases that was driven by taking some of the 10 deals that you did and bringing in new retailers at a more normalized base rent?
Stephen D. Lebovitz: Yeah, exactly because we have taken basically a mark down on those rents that have previously been in the space for two, three years, and then we are able to replace in market rents. So that drove those higher lease spreads on the new leasing.
Paul Morgan – Morgan Stanley: Do you see that as a source of upside, I mean, could we continue to seek any, say, double-digit numbers on new lease spreads?
Stephen D. Lebovitz: We hope so. I mean that’s really been a big part of our strategy and leasing is to maintain the NOI, but at the same time really push to find more productive users, and now we’re seeing a lot better demand from retailers, more expansion plans, more new retailers coming into the market. And then, with limited supply of new space being built, the number of retailers that are looking to come into the malls have increased. So we feel like things are coming our way to a bigger extent and we’ll to continue to benefit going forward.
Paul Morgan – Morgan Stanley: Okay. And then, just on there’s about 700,000 square feet or so of renewal leasing activity that isn’t reported in terms of spreads. Are those are the few department stores or something?
Stephen D. Lebovitz: Exactly. Those are anchored spaces, large spaces.
Paul Morgan – Morgan Stanley: Okay, great. My last question on the outlet side, as you work with Horizon and look at the landscape for new projects and given your experience at developing centers in small markets, I mean do you see many opportunities in terms of, sort of a shadow pipeline that many projects one day would have been a mall in a small market and maybe it could be in outlet center again, and kind of what you think the longer term looks like?
Stephen D. Lebovitz: Well, I think we do see a decent pipeline in new projects working with Horizon, the type of market we feel like we need to be careful with and there needs to be some minimum requirements, and we typically look for at least a million people in the trade area from a population point of view, significant tourist space. And so, that limits the amount of markets that are available. But that being said, Horizon and as they’re all prospecting in new markets and our goal is to have a new project every year to 18 months, and looking forward we feel like we’re on track to achieve that. So there is definitely some opportunity out there, it’s competitive as everyone knows, but Horizon has done a great job. They’ve great relationships with the retailers. We have our relationships with the retailers and there is a lot more overlapping convergence today in the outlook centers in terms of the retailers in at any point in the future, so the partnership is really working for both of us, and we’re excited at the progress we have made and see a lot of upside as well.
Paul Morgan – Morgan Stanley: Great, thanks.
Stephen D. Lebovitz: Thank you.
Operator: Thank you. Our next question comes from Craig Schmidt with Bank of America. Please go ahead.
Stephen D. Lebovitz: Hi, Craig.
Craig R. Schmidt – Bank of America/Merrill Lynch: Thank you. Hey…
Stephen D. Lebovitz: Good morning, Craig.
Craig R. Schmidt – Bank of America/Merrill Lynch: Good morning. The TIAA-CREF deal closed, I guess in October in that point, you are talking about pursuing new opportunities. I am wondering if you could describe how that’s going in and then what kind of things you guys are looking to do together?
Stephen D. Lebovitz: Yeah, I think the relationship has been great. We continue to have meetings with them, bring them up to-date on what’s going on in the markets and so on. And we continue to explore various opportunities with them. There is nothing specific at this point in time, but they have a tremendous appetite, and they’ve got tremendous flexibility and tremendous financial capacity to do it, and the expertise, we’re seeing with the existing properties is basically, we think furthering their pursuit of these specific opportunities. So we’re really excited about it and we’ll continue to work with our Friends and Teachers.
Craig R. Schmidt – Bank of America/Merrill Lynch: And in terms of acquisitions, is there – it is something that you would buy individually as opposed to what you would buy in that joint venture? Is there any kind of like different things that you’d be looking for?
Stephen D. Lebovitz: No I think that Teachers is very focused on the upper-end in higher productivity malls, there are certain malls in certain geographical areas that probably don’t fit their criteria, and but they would fit our criteria because we see great sales per square foot, we see also the opportunity to expand the project and add our management expertise to it. So, there are opportunities that we’ll do and that Teachers probably won’t be involved in, because of different criteria et cetera. But we also explore with other joint venture partners, lower productivity malls where we can add the managed, but expertise and leasing that we have been doing for since 1978. So it’s a great opportunity for us.
Craig R. Schmidt – Bank of America/Merrill Lynch: Okay. Thank you.
Stephen D. Lebovitz: Thanks, Craig.
Operator: Our next question comes from the line of Nathan Isbee with Stifel, Nicolaus. Please go ahead.
Stephen D. Lebovitz: Hey, Nathan.
Nathan Isbee – Stifel, Nicolaus & Co., Inc.: Hi, good morning.
Stephen D. Lebovitz: Good morning.
Nathan Isbee – Stifel, Nicolaus & Co., Inc.: How much of the occupancy increase this quarter was, would you say were same-store versus perhaps selling some of the properties in the last year?
Stephen D. Lebovitz: It was lot of these all same-store, the only centers, we have sold have been the community centers. So we haven’t sold any malls and even the malls that we are taking out for the impairments, as a percentage of the portfolio, they’re so small, that they do really didn’t move the needle at all. So it was just same-store occupancy, new leasing increases that we were able to achieve.
Nathan Isbee – Stifel, Nicolaus & Co., Inc.: Okay, great. And then on the Gap and Abercrombie towards the close this quarter. Can you just give some idea of what type of malls they closed out and did any of them close in the same malls?
Stephen D. Lebovitz: They – hang-on, I’m looking they stay closed really a wide variety of malls. And one example on CoolSprings Abercrombie closed and that’s where Apple is replacing them. They’ve closed in other malls where we have different replacements. They didn’t close in any of the same malls, and I mean the Gap, for example by they’re vacating, it gave us room to do the LEGO deal at Oak Park, so it’s really a combination of factors, some of them are stores that they weren’t doing so great from their point of view, but there is where ones that we work with them to take back as we get better replacements.
Nathan Isbee – Stifel, Nicolaus & Co., Inc.: Okay. And then how many of the 15 that close this quarter are released already?
Stephen D. Lebovitz: There about half of them are…
Nathan Isbee – Stifel, Nicolaus & Co., Inc.: Okay, and then if you can just focusing on the CBL, Horizon relationship, you continue to move forward there in terms of new deals, I’m just curious, if you can just give us some insight into what’s stopping you from acquiring the whole entity at this point, is it on your side, is it on their side?
Stephen D. Lebovitz: I think that we have a great working relationship with them today and it’s working out very well for us and we continue to explore various opportunities for each other. And so, those are things that as this joint venture continues to progress, everything is available for either of us to do from that standpoint. So we’ve not pursued in any aggressive way, other than how we have been pursuing these developments today.
Nathan Isbee – Stifel, Nicolaus & Co., Inc.: Okay. And then, just on Gettysburg, can you just give a sense on timeline and size, perhaps, of what you plan to do there, is it too early to say?
Stephen D. Lebovitz: Yeah, I think that they have some expansion plans we’re working on together. They also have the, now that we’ve got ridden of some mess financing that were in place there, there is the opportunity to bring in some other tenants with tenant allowances and other improvements can be made. So I think Gettysburg is going to be an excellent opportunity for us as well. And I think our friends at Horizon see it the same way and even though its sales per square foot are not as high as the others, it’s still got great opportunities, great expansion potential. El Paso is doing extremely well and Oklahoma City continues to progress above everybody’s expectations.
Nathan Isbee – Stifel, Nicolaus & Co., Inc.: All right. Thanks.
Stephen D. Lebovitz: Thanks, Nathan.
Operator: Our next question comes from the line of Quentin Velleley with Citi. Please go ahead.
Stephen D. Lebovitz: Hi, Quentin.
Quentin Velleley – Citigroup Global Markets (United States): Hi, good morning.
Stephen D. Lebovitz: Good morning.
Quentin Velleley – Citigroup Global Markets (United States): Hi. Just in terms of the guidance, just with the refinancing that you did, and I think you commented that you had term sheet to add on pretty much all of the 2012 mortgage maturities. Have your interest expense expectations changed in guidance as a result of these refinancings or is it still the same?
Stephen D. Lebovitz: I think it’s basically the same. I think that as the markets have progressed, we basically watch those as well. We expect the bad debt expense could go up somewhat. So we are making certain that we’re conservative in our approach on that, and the tenant reimbursement have tended to be down a little. So we are watching that as well. So those are couple of things that have resulted in our basic, we have been cautious with regard to the guidance we have given. But, now I think on the financing standpoint, we are very excited about the fact that we have been able to replace these loans at fixed interest rates on a non-recourse project specific basis and our returns on equity have just gotten even better. So it’s an excellent outlook for us from the standpoint of financing.
Quentin Velleley – Citigroup Global Markets (United States): Okay, thanks. And then, just in terms of The Outlet acquisition, it sounds while there might be some other opportunities out there, some of the development, the renovations that you are looking at. How are you thinking about leverage and liquidity at the moment? Do you think you need more common equity, or you’re sort of comfortable with leverage ratios and liquidity where it is?
Stephen D. Lebovitz: Well, Quen, I think we’ve been cautious since forming our company as to basically using non-recourse loans and that was one of our big concerns about the outlet businesses. Basically it’s been more corporate debt. So when we were able to finance the Oklahoma City project with the CMBS loan, that left us with about $8 million of equity in the project and returns well in excess of 50%, returns on equity. That gave us a lot of confidence. So we think that there are going to be some more opportunities out there to take advantage off.
Michael Bilerman – Citi Investment Research: Stephen, it’s Mike Bilerman speaking of it, quick question. Just as you think about the portfolio today, how much of sort of the in line GLA is on these short-terms leases, because it seems that it’s both opportunity and the risk, right, where certainly a big portion of or a sizable portion, it seems like there is a lot upside as you rotate the tenants like Apple and others. But then there is also some, you’ve talked about Abercrombie and Payless that continue to move down. So how much of it today is under that?
Stephen D. Lebovitz: Yeah, I would say, Hey Michael. I would say probably about 40% is three years or less, if you include everything that’s been done over the past few years, it’s definitely higher than it’s been at any point. But we feel good about the prospects going forward that we are kind of reaching the end of the wave of kind of remarking or resetting that a lot of retailers have gone through, even Gap had really strong sales in February and March, and I was actually just out at their offices last week, and there is a lot of excitement and good energy there, and so I think they’ve look at the rest of their portfolio with CBL after the stores that have closed, and they’re really positive, sales were up dramatically, and there actually costs are in line. So we feel like we’re reaching the end with them in terms of the closures, Abercrombie, there is still some ways to go, but for the most part other retailers are healthy, and we’re just seeing a lot of good demand from boxes, we’ve been talking about the boxes, we’ve been doing, but that helps occupancy, and we’re able to combine vacant spaces, and spaces that are on short-term leases to bring in real strong traffic and income generators there, and then there is just categories that have made a real resurgence athletic shoes has been on fire for the past year, and we’re seeing a lot of good growth and demand there, and new concepts, jewelry has made a strong comeback, and we are doing a lot of deals with okay which is on that Sterling, it’s one of our largest retailers and also got Pandora, they’re expanding the specialty jewelry in a lot of malls. So just we feel like it’s a lot better part of the cycle from a demand point of view. So we’d rather – we’re comfortable with the exposure to the short-term leasing going forward.
Quentin Velleley – Citigroup Global Markets (United States): And you said – 40% of the inline G&A is under three years or less and the composition of those retailers in your view is much healthier than causing some of these declines in renewals?
Stephen D. Lebovitz: No. I think that that’s going to come down over time. and it’s something where we are doing most of the new leasing is done on a 10-year term. So I don’t see that being something we [could be sustained] over time.
Quentin Velleley – Citigroup Global Markets (United States): Right now, I’m just [deciding] that, it sounds like 40% of the existing base is on leases under three years and the routines for your comments that that represents a significant opportunity as you move the short-term leases to longer-term leases, frankly, there is some capital. I am just trying to get a sense of, in the next few years, we can actually see pretty strong growth that as a core as you migrate all the short-term leases to longer-term?
Stephen D. Lebovitz: Yes. We agree, thank you. Now that’s a great point and I think this quarter really, we’ve seen the strongest evidence of that with the new leasing that we’ve been able to achieve. And that’s a priority for us and for our leasing team. And the other thing that’s helping us is just general economic recovery in our markets and we’re seeing better employment or lower unemployment, more job growth and better consumer confidence. And so that’s helping the retailers to be willing to expand more into the middle markets. And I think initially, they were focused on the real high productivity malls, but now we’re seeing retailers coming to us and talking about expanding into our markets that weren’t having those conversations a year ago. So we’re excited about the convention in Los Vegas have a lot on tap there. And then we followed that up with our connections leasing event here in Chattanooga in June. And so, we’re positive about the prognosis going forward.
Quentin Velleley – Citigroup Global Markets (United States): Okay, thanks for the color.
Stephen D. Lebovitz: Thank you.
Operator: Our next question comes from Ben Yang with KBW. Please go ahead.
Benjamin Yang – Keefe, Bruyette & Woods, Inc.: Yeah. Hi, good morning. Thanks.
Stephen D. Lebovitz: Good morning.
Benjamin Yang – Keefe, Bruyette & Woods, Inc.: John, I’m just wondering if you could further elaborate a little bit on the two CMBS loans that you’ve just completed or replacing Northwoods, because I think you’ve commented that markets are attractive, but the 5.09% rate is still pretty good for malls that do in that low 300 a foot range. So I’m wondering, is there anything unusual about these malls that led to that attractive rate in term or maybe this was the CMBS market can bear afford 300 a foot type malls?
Stephen D. Lebovitz: I guess you’re making this was as the CBL was managing in all those properties.
Benjamin Yang – Keefe, Bruyette & Woods, Inc.: That’s the secret sauce?
Stephen D. Lebovitz: That’s definitely the secret sauce and it’s a special recipe too.
Benjamin Yang – Keefe, Bruyette & Woods, Inc.: And so based on the term sheet that you have out there for your 12 maturities, 300 a foot quite low 5% range that’s kind of your expectation as well?
Stephen D. Lebovitz: Yeah, I think it’s in that same range and basically the term sheets that we have in place. the only loan that we don’t have a term sheet on is our project in Livonia, Michigan, Laurel Park, which comes due in December. so that’s too late in the game, but we’ll continue to pursue that. But the term sheets that we have and the loans that we’re closing in the next 60 to 90 days are basically in that same range. It all depends upon what happens with swap rates and spreads are coming in somewhat. So we’re very positive about it and I do in all seriousness, I do think that the difference in the CMBS markets today is based upon the ability of the sponsors, and we’ve had some great relationships with the sponsors who are basically quoting the CMBS loans to us. So…
Benjamin Yang – Keefe, Bruyette & Woods, Inc.: ...should matter that and any thoughts on what that rate would look like if you want to a balance sheet lender?
Stephen D. Lebovitz: It probably could have been a little lower, but it wouldn’t be 10 years and because the balance sheet lenders probably other than insurance companies are basically in the five to seven year range.
Benjamin Yang – Keefe, Bruyette & Woods, Inc.: Okay, fair enough. And then just curious on a Horizon outlook that you just bought. How did you guys come to an agreement on price? Did they set the price and you took it? Was there a negotiation or was there a more formal process for price discovery on those outlet centers?
Stephen D. Lebovitz: I think everything in today’s world is negotiations and that’s what we normally [expel] to those two as well.
Benjamin Yang – Keefe, Bruyette & Woods, Inc.: And then can you remind us what the cap rate was on that purchase as well?
Stephen D. Lebovitz: The combined cap rate was in the high sevens.
Benjamin Yang – Keefe, Bruyette & Woods, Inc.: High sevens, okay. And then, just final question, Stephen, I think you commented more retailer expansion plans, going to expand in the middle market limited supply. I think Chico’s is the only retailer that has publicly stated that the intent to expand in the middle market. So just wondering, are you aware of any other national retailers that have similar growth strategies based on public or even some of your private conversations?
Stephen D. Lebovitz: Yeah, I mean, I think Chico’s made that public announcement which we liked a lot, but I mean we talked about Apple’s doing more stores with us. We’re working with J. Crew in a number of markets; North Face, Oakley, Coach and Sephora are new ones, but we’ll continue to do more with them. We actually just did a deal with Armani for one of their concepts and these are middle markets Tillys, and Zumiez, which are more junior oriented. H&M, we’re doing a lot with H&M and their sales have increased and they’re very strong. So those are just I think some more names that we’re working with and that we’re excited about.
Benjamin Yang – Keefe, Bruyette & Woods, Inc.: Okay, great. Thanks guys.
John N. Foy: Thanks, Ben.
Operator: Our next question comes from Carol Kemple with Hilliard Lyons. Please go ahead.
Carol L. Kemple – J.J.B. Hilliard, W.L. Lyons LLC: Good morning.
Stephen D. Lebovitz: Hey, Carol. How are you?
John N. Foy: Hi.
Carol L. Kemple – J.J.B. Hilliard, W.L. Lyons LLC: Good. How are you all doing?
Stephen D. Lebovitz: Good.
John N. Foy: Good.
Carol L. Kemple – J.J.B. Hilliard, W.L. Lyons LLC: Can you talk about any progress made on the acquisitions you all did last fall, which had a new market?
Stephen D. Lebovitz: Sure, we’ve got a lot going on there, so it’s in terms of redevelopment and releasing. Belk is doing a renovation of their store, they have a home store that they are consolidating into a space right adjacent to their department store. They will take some vacancy in the mall and then we have a group that we’re back filling their existing home store. We have an associated center right out front that we’ve got letters of intent pending with three boxes that would bring that to 100% lease and we're working on a streetscape redevelopment along the front of the mall that would combine some boxes and restaurants and retailers and preliminarily plan is to do some renovation work. So we have a lot going on there and as we get leases signed, we’ll obviously make announcements about the specific names. But we’re real pleased with the progress and it’s going to be good project for us long-term.
Carol L. Kemple – J.J.B. Hilliard, W.L. Lyons LLC: Are you all seeing anything attractive on the acquisition front besides outlook?
John N. Foy: Yeah, I think we are looking at lot of things, and discussions, but I don’t think that there is quite a few out there and we're selecting through those. So I think we will see more opportunities as things come along. I think the deal that Westfield is concluding with Starwoods is basically a good indication that middle market malls are basically producing good sales results and good sales potential. So we’re looking at, but we are going to be selective with regard to what we do.
Carol L. Kemple – J.J.B. Hilliard, W.L. Lyons LLC: And if after hearing the results of that deal, does that make you all more likely to sell some of your malls?
John N. Foy: Well I think, we would look at those opportunities as they present themselves, and if there is a good opportunity to monetize some of our properties we would do so. So we are focused on watching our leverage as well, and that will continue to be something we are focused on as well.
Carol L. Kemple – J.J.B. Hilliard, W.L. Lyons LLC: Okay. Thank you.
Stephen D. Lebovitz: Thanks, Carol.
Operator: Thank you. Our next question comes from Todd Thomas with KeyBanc Capital Markets. Please go ahead.
Stephen D. Lebovitz: Hey, Todd.
Todd M. Thomas – KeyBanc Capital Markets: Hi, good morning.
Stephen D. Lebovitz: Good morning.
Todd M. Thomas – KeyBanc Capital Markets: Couple of questions, just going back to the new leasing in the quarter for a second; first, how much of the 136,000 square feet of new leasing entailed the conversion of short-term to permanent leasing? And then your new leasing spreads, they’ve been positive for several quarters now, but is this the first quarter that we’ve really seen some burn-off of the short-term leasing now that were roughly I guess, three years or so out from when you really started doing those deals?
Stephen D. Lebovitz: Hey, Todd, we don’t have here right now the exact number of the square feet to answer your question about the short-term leasing in 136,000. But it’s been part of new leasing, I think it’s becoming more of a part, a bigger part in this quarter and going forward. I also think a factor is just we’ve had nine quarters of sales growth and as sales grow, our actually cost is down. It was 50 basis points down at the end of last year compared to the year before. So that allows us to push the reps and that’s our job and so that’s what we’re doing to try to do that. And with no new development happening, retailers are – they want a location. They’re being realistic and understanding what the economics need to be. So those are just some of the different factors that come into play.
Todd M. Thomas – KeyBanc Capital Markets: Okay. And then in terms of tenant sales growth actually in the quarter, can you just breakout what you saw within the portfolio, maybe some of your higher quality centers relative to some of the more moderate malls in your portfolio? Was there any difference between the two groups?
Stephen D. Lebovitz: It was across the board I mean we had some malls that we’re doing sales in the 200 that had double-digit sales growth because of factors in their economy, our mall in Cheyenne, Wyoming that economy is really gotten a boost because of energy and other growth in there. So it’s had double-digit sales growth, El Centro and Imperial Valley because of the strengthening Mexican economy has had a double-digit sales growth, and that’s a mall that is that almost $400 a foot now. So it’s really a pretty spread out throughout the portfolio in terms of where the sales growth is coming from. So we’re pleased and we see that some of the malls that have sales in the high 200s or low 300s are having good growth in both sales and NOI and we’re pleased with that.
Todd M. Thomas – KeyBanc Capital Markets: Okay. And then just lastly question for John. I was just wondering I heard you go through some of your guidance assumptions. I was just wondering with regards to the income tax benefit that you realized in the quarter. Are you still expecting about $3 million to $5 million of income taxes for the year?
John N. Foy: Yes. That was some carryover from the last year. So that’s what helped us in that first quarter, but we do anticipate that our tax will (inaudible) the management company is doing well and that’s going to result and are paying some taxes. It’s not always bad to pay taxes though, especially when you’re making money.
Todd M. Thomas – KeyBanc Capital Markets: Okay, great. Thank you.
John N. Foy: Thanks.
Operator: Thank you. Our next question comes from Jim Sullivan with Cowen and Company. Please go ahead.
Stephen D. Lebovitz: Hi, Jim.
James Sullivan – Cowen and Company, LLC: I am sure – good morning, guys. How are you?
Stephen D. Lebovitz: Great.
James Sullivan – Cowen and Company, LLC: A couple of questions on the outlet center business. With the recent acquisition, Stephen, I think you said in your prepared comments that both of those centers have land available for expansion. And I’m just curious, number one, how much land, and number two, whether when you acquired the centers, whether you fully cost of that plant in your cap rate calculation?
John N. Foy: Jim, I will answer that. When we did not anticipate, we did not use any of that excess land in our calculation when coming to that. In El Paso, there is probably 20 to 30 acres of excess land. There is two specific potential areas for expansion there that will for the expansion there should happen relatively quickly in Gettysburg, I think there is probably five to 10 acres of additional land there and there is some expansion potential there as well. So we did not take any of that excess land and put any value on that for coming up with our cap rate.
Stephen D. Lebovitz: And then in Oklahoma City, like I have said we’ve got the new phase we’re about to start on, that’s about 30,000 square feet and then we have an additional phase that we can do down the road once we have the demand for that.
James Sullivan – Cowen and Company, LLC: And typically I think the kind of pro forma yields on the expansion is higher than Phase I typically for outlet centers, right?
John N. Foy: Yes.
James Sullivan – Cowen and Company, LLC: And what kind of number should we be thinking about, if we’re thinking about 10 on Phase I, what kind of ballpark increment should we expect on the expansions?
John N. Foy: There will be in excess of 10.
Stephen D. Lebovitz: Maybe the buildings are more expensive because we don’t have the economies scale. So it’s not a dramatic increase over the initial yield, but that will be definitely double-digit.
James Sullivan – Cowen and Company, LLC: Okay and John really for you, I guess in terms of the outlet center business as you’re expanding this part of your overall portfolio, I just wonder what kind of conversations you had with lenders, how much of an appetite they have to lend on outlet centers and how they approach them perhaps differently than they might approach a traditional mall in terms of a loan to value and rate and other variables?
John N. Foy: I think in Oklahoma City they approached it fairly consistent with what they’ve done on the other ones with not much change, I think they look at the sales per square foot and the productivity of those top malls probably more so than they do on a conventional mall because the leases are shorter and I think that their underwriting criteria is basically going to be that and they’re going to look at that occupancy. Oklahoma City was great because it opened 100% leased, and so I think that helped tremendously. I think that the conventional institutional guys are still waiting for sales results over a more extended period of time whereas the CMBS lenders feel a little more comfortable with looking at the sales and what’s happening from the productivity standpoint.
James Sullivan – Cowen and Company, LLC: Okay. And then, Stephen can you give us an update on what the pre-leasing percentage is and the new outlet Center in Georgia?
Stephen D. Lebovitz: Sure, Jim. We are 70% leasing committed and we’ve got a real good backlog. So we’re anticipating a strong opening, getting a lot of new interest and looking forward to breaking ground in the next few weeks or few days.
James Sullivan – Cowen and Company, LLC: Okay, good. And then final question from me back in the mall business, I’m just curious is there any ability to expand the CoolSprings scale around?
Stephen D. Lebovitz: Yeah, there is – I mean, we’ve looked at CoolSprings and a number of our malls. There is not vacant land, but it’s more densifying, which there and working with the department stores to come up with a plan that works for them and works for us, building out into the parking lot. And so that’s something that what we’ve been working on at CoolSprings and we think we’ve got some opportunity and also added several other in the malls there is good opportunity to do that.
James Sullivan – Cowen and Company, LLC: Okay. Leave it there. Thank you.
John N. Foy: Thank you.
Stephen D. Lebovitz: Thank you.
Operator: Thank you. Our next question comes from Cedrik Lachance with Green Street Advisors. Please go ahead.
Stephen D. Lebovitz: Good morning, Cedrik.
John N. Foy: Good morning.
Cedrik Lachance – Green Street Advisors, Inc.: Good morning, guys. Just one quick question in regards to capital allocation and disposition; when I look back to the TIAA-CREF JV, which basically was completed or signed about a year-ago, pricing in the market have increased quite a bit. I think with the Westfield transaction we got confirmation of some pretty robust pricing for let’s call them B-malls. And since then, we’ve also tried to build on that Westfield portfolio, I think at a time you mentioned that the pricing that you have represented to them was very, very quickly surpassed by others. So when I look at that it seems to me that you would be more inclined to dispose that than to acquire and why not be more active on the disposition front at this point.
Stephen D. Lebovitz: I think we look at every opportunity to basically enhance the portfolio and pay down debt and we’ll continue to do that, while at the same time looking how we can grow FFO and that’s the focus we’ll continue to do. If you sell up those assets with that if you can pay down debt, but in terms you got to figure out how you’re going to reinvest that money to make sure that your shareholders can enjoy the benefits of increased dividends. So we watch that constantly and we don’t will allow selling any of our assets just depending upon what the opportunity is and what’s been presented to us on that and we don’t sit back and just take it as a gradual thing, but focus on it to make certain that we’re doing the right thing.
Cedrik Lachance – Green Street Advisors, Inc.: Okay. And since we (inaudible) basically looking at a reinvestment issues associated with that capital, what makes for you going to reinvestment versus what would make for good disposition at this point?
Stephen D. Lebovitz: I think the ability to see a growth in that NOI and we’ll see something that hasn’t been managed up to the standards that we would manage something as well as the ability to cut expenses and see other potential possibilities with an asset. And also there could be some opportunities coming along where people have a negative tax basis and we’ve worked through that for a number of years with people. So we have that ability to structure transactions that can be tax sensitive to people who have a tremendous negative basis. So I think the creativity and the ability of our management leasing and redevelopment team to focus and take advantage of those opportunities are really front on our minds.
Cedrik Lachance – Green Street Advisors, Inc.: Okay. Are you actively negotiating with anyone in terms of trying to acquire properties?
Stephen D. Lebovitz: Well, we’re very quite with regard to that. We don’t announce anything until we are actually ready to close a transaction. We will continue to look there’s opportunities out there and we will take advantage of those when we see an opportunity that makes a great deal of sense for us.
Cedrik Lachance – Green Street Advisors, Inc.: Okay, thank you.
Stephen D. Lebovitz: Thanks, Cedrik.
Operator: Thank you. Our next question comes from Michael Mueller with JPMorgan. Please go ahead.
Stephen D. Lebovitz: Hey Mike.
Michael W. Mueller – JPMorgan Securities LLC: Hey, most of the questions have been answered, but wondering if you can talk about two things. One, the renovations you have about four underway this year. When you look at over the next couple of years there is a feel like you’re backing that consistent flow doing three or four this year at this point. And then secondly, John you mentioned the dividend, can you just talk about the dividend outlook over the next couple of years given the whole pay out ratio?
Stephen D. Lebovitz: Sure, I’ll take the renovation questions. So I think that we’re looking at roughly that same dollar amounts for the next couple of years. Their malls because of the renovations that’s we’ve done are in pretty good shape. So it’s not necessarily four malls, but there are some smaller capital projects that entrances or floors or items like that that we feel like we want to update again to keep the malls fresh and from the customers point of view. So it’s been a real effective strategy, the malls that we renovated last year, we have gotten great feedback, we’re seeing good results in terms of sales and leasing. So it’s definitely something that we feel it’s important. Now I will let John talk about the dividends.
John N. Foy: As to the dividend, I think what we do is that we balance between paying down debt, bringing down our debt numbers and basically paying to our shareholders good reasonable dividend. So in addition to that we’re amortizing just on our amortizing debt about $98 million a year. So we are amortizing the debt down, we will look at that dividend, we think the dividend growth is an important aspect, but we also think having a good strong balance sheet and paying down debt is something that we focus on as well. So we’re very, very focused on that trend. We have the highest dividend yield in the mall sector today. So we would like to see some growth in the stock price and that could drive the dividend as well. So I think it’s a balance between paying down debt and then paying down debt and then paying a dividend that we think is sustainable and safe for all of our shareholders.
Michael W. Mueller – JPMorgan Securities LLC: Okay, but when you look at taxable net income you don’t see anything over the next year or too that’s going to cause taxable income to pop and basically push up the dividends in a similar way.
Stephen D. Lebovitz: Not at this present time. I don’t see that’s the case with regard to anything significant cost impacts would come to go up. Thanks Mike.
Michael W. Mueller – JPMorgan Securities LLC: Okay.
Stephen D. Lebovitz: Thanks, bye.
Operator: Thank you. Our next question comes from Rich Moore with RBC Capital Market. Please go ahead.
John N. Foy: Hi Rich?
Richard C. Moore – RBC Capital Markets Equity Research: Good morning guys, couple balance sheet questions if I could John the $360 million of line debt that you have is the thought that you will continue to pay that down as you get like you got the $79 million of excess proceeds on your recent mortgages is that sort of the plan or you just let that right for a bid or do you take that out with some other more permanent structure?
John N. Foy: Now, we’ll pay those down with that cash as we over-finance those and we also have a term loan that comes due in ‘13 for the acquisition of the Starmount portfolio and we’ll pay that off to other proceeds and other things refinancings et cetera.
Richard C. Moore – RBC Capital Markets Equity Research: Okay. Yeah, I was going to get today. You kind of stole my thunder. So, Starmount I thought was actually November of this year, is that right?
Stephen D. Lebovitz: Yeah, you’re right. It is November this year and we will pay that off. That’s correct.
Richard C. Moore – RBC Capital Markets Equity Research: Okay. So that’s just with precision and then the same is true of your other unsecured term loan, which is next year. I mean, I guess the idea there would be to extend that at some point or maybe given another term loan to replace that sort of thing?
John N. Foy: I think our plans would basically be to pay that off as well, I mean with the refinancing that we accomplished last year and the refinancings that we’re working on this year, we see excess proceeds and other things that we are working on that would pay that off without having to access the equity market. So we have a financial plan, the plan is very solid and conservative and I think that we are well ahead of that plan at this point in time, and we’re excited about the possibilities of really beating that plan significantly.
Richard C. Moore – RBC Capital Markets Equity Research: Okay, all right it sounds good. And it’s $755 million of total debt that you would be paying, so that would certainly be substantial?
John N. Foy: Yeah.
Richard C. Moore – RBC Capital Markets Equity Research: The second thing I had on Atlanta, what is the cost of that project?
Stephen D. Lebovitz: We are still negotiating the contracts on that Rich. I think in the next supplemental, we’ll basically have those returns. As we’ve said, it’s going to be an excess of 10% on an unleveraged basis and I think we’re pretty excited about what we’re seeing as far as the leasing and as far as construction costs as well. So we will have that definitely in the next supplemental.
Richard C. Moore – RBC Capital Markets Equity Research: Okay, very good. Thank you, guys.
Stephen D. Lebovitz: Thanks Rich.
John N. Foy: Thanks Rich.
Operator: Thank you. Our next question comes from R.J. Milligan with Raymond James. Please go ahead.
John N. Foy: Hey R.J.
R.J. Milligan – Raymond James: Good morning. Just two quick things because most of my questions have been answered, Stephen I don’t know if you mentioned the percentage of short-term leases that were signed in the quarter?
Stephen D. Lebovitz: No I didn’t. It is in the mid-40s and it’s down about 600 basis points from where it was last year first quarter.
R.J. Milligan – Raymond James: Okay. And do you anticipate that number continuing to decline as we go through the year?
Stephen D. Lebovitz: Yes, definitely in this quarter because of the number of renewals was higher than it will be going forward as well probably.
R.J. Milligan – Raymond James: Okay. I’m just curious, you guys have said that the weather and the Easter Holiday had helped boost sales in the first quarter, I’m wondering if you have any indications to how April has been tracking?
Stephen D. Lebovitz: Yeah, I mean we don’t have specific numbers yet from retailers that will come out in the next few days, but from traffic. We’re really pleased, it looks positive, traffic has been good and reports that we are getting from retailers have been good. So it seems like things have stayed on a strong track.
R.J. Milligan – Raymond James: Great, thanks. That’s all I have.
Stephen D. Lebovitz: Thank you.
John N. Foy: Thank you.
Operator: Thank you. Our next question comes from Jeffrey Donnelly with Wells Fargo. Please go ahead.
Stephen D. Lebovitz: Hi, Jeff.
Jeffrey Donnelly – Wells Fargo Securities, LLC: Hey, good morning guys. Stephen, if I could maybe build on R.J.’s question. I’m curious, what’s the process on getting the 40% of your shop tenants to commit to a longer lease, because I would presume other than just maybe asking nicely it, the point that’s going to happen when they think they are competing against more than one user for their space and certainly you guys have the cost to try and extend that lease, I would think its either or meaning to release that to somebody else who might want it for longer period of timing of downtime or TI money. So I mean I guess my question is do you feel there is a enough gap in the net front between what you’re getting from a short-term lease tenant versus what you can get from some an new come in a longer term, you might have to reconfigure?
Stephen D. Lebovitz: In 90% of the cases, we’re better off economically with the long-term deal even though there might be some downtime or some cost associated with it. So the short-term leasing is an interim step, and it’s either something where we’re working with the retailer, while their sales recover to workout a longer term deal or we’ve got someone to replace them and there is a timing issue or we’re working to get someone to replace them. So it’s definitely not our preference and there’s always going to be a certain percentage of it, but we’re not happy in the 40s, and we want to get that lower.
Jeffrey Donnelly – Wells Fargo Securities, LLC: I think that was in typical I guess for 2008 I mean what do you think is normal, if you will for a mall in terms of leases less than call it three years?
Stephen D. Lebovitz: That was probably always in the 25% to 30% range, just because of so many moving parts in the malls and that’s where we’re looking to see a go back.
Jeffrey Donnelly – Wells Fargo Securities, LLC: And then you are seeing a lot of the folks that you do have the short-term leases with actually become the long-term tenant if you will giving, is there a high conversion rate or is it not as high as you might think or hope?
Stephen D. Lebovitz: In some cases, it happens, but probably in more cases, it’s bringing someone new where we get the longer term tenants. And yeah, some of that’s driven by some retailers. There are as many, but some are still working through some issues they have, and so part of the relationship with them, we work with them in certain locations and they work with us and as their business gets better, then that pays off and we’ve seen that with a number of retailers, as they also is a great example of that, they were on the brink and we kept a lot of locations hoping short-term and now their business is on fire, and we’re doing a lot of long-term deals and things have improved. So that’s part of it with several retailers as well.
Jeffrey Donnelly – Wells Fargo Securities, LLC: And another question for you John I think you had mentioned that in the Outlet side of the business, that lenders because of the shorter lease term, they tend to focus a little bit more on the productivity of those properties. Have you guys had any maybe change in the tone from your lenders, I guess it’s your average lease term in the malls have shrunk down a little bit because of the short-term leasing, I guess call it rattled or favor it all, have they been pretty supportive of it?
John N. Foy: No, we haven’t seen that. The construction loan and our projects in Woodstock at Atlanta, that’s basically been very aggressive from the banks, we wanted to do that, on the permanent lending side, I think they’ve just looking at the asset and the properties specific so, and I haven’t seen them largely save or anything such as that.
Jeffrey Donnelly – Wells Fargo Securities, LLC: And just one last question is, maybe a big picture I guess is that there has been a lot of activity certainly in the mall transaction side, as a business and improvement I guess in the financing markets, are you able to maybe comparing contractors down, like how you’re kind think and stand today for or maybe how lenders or underwriting malls that close to $400 a square foot in sales versus those at $300 a square foot, is there really been any shift or improvement in the last few months in terms of how they’re thinking about loan proceeds and willingness to finance those assets?
Stephen D. Lebovitz: I think that basically, I don’t think there has been a huge, differential in their minds between $300 and $400 square foot. I think occupancy is an important element to them. I think they see what’s going on with your NOI and the tenant leases that are going over, rolling over et cetera. So I think that we have been able to negotiate with them and I think they are aggressive with regard to that and so many banks today have so much money that they wanted to do term loans and they can be aggressive on those as well. So I think the prices should become a more realistic, I think that as a result of that things are much more positive and as I said earlier, I think the sponsorship and the ability to stay in the deal is so, so important and what you have done in the past and I don’t think we have been very fortunate in having great relationship with our banks, we are basically doing a lot of the CMBS loans to sell through their investment banking groups. So it’s been a great relationship that we’ve had for so many years and with so many banks.
Jeffrey Donnelly – Wells Fargo Securities, LLC: Great, thank you guys.
Stephen D. Lebovitz: Thanks, Jeff.
Operator: Mr. Lebovitz, it appears to be no further questions at this time. I will turn the call back over to you sir. Please go ahead with your closing remarks.
Stephen D. Lebovitz: Great, I’d just like to thank everyone for participating again, and we look forward to seeing you in a couple weeks at in Las Vegas, those of you are who already is going to be there at the RECon convention and then at NAREIT in New York a few weeks after that. So thank you and have a great day.
Operator: Ladies and gentlemen that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.